Operator: Thank you all for standing by, ladies and gentlemen. Welcome to today's full year 2020 results conference call. [Operator Instructions]. Please be advised, the call is being recorded. I would now like to hand the call over to your speaker, Chairman and CEO, Mr. Gilles Grapinet.
Gilles Grapinet: Many thanks, operator. Ladies and gentlemen, good morning. This is Gilles Grapinet speaking. Thank you for attending this Worldline conf call today on our full year 2020 results.  I'm going to share this presentation as usual with our Deputy CEO, Marc-Henri Desportes; and our Group CFO, Eric Heurtaux.  Let me start by sharing with you that 2020 has truly been a landmark year for Worldline despite the challenging pandemic context we all know. I am indeed very satisfied with the strategic execution we have conducted while delivering, I believe, very solid figures.  It has been possible with the full engagement and commitment of our teams, which I want to humbly thank in front of you all.  Now to highlight this execution. I have 4 main elements to share with you today. First, as you all know, we have experienced unprecedented constraints across the world with the COVID-19 materializing through very severe confinements and lockdowns impacting massively domestic and international transactions. But this situation had, somewhere, a positive impact on the evolution of the payment ecosystem, accelerating the cash to card shift and pushing online as mandatory for a lot of merchants. These trends definitely offer short- and medium-term growth opportunities for Worldline, driven by a real long-lasting change in consumer behaviors.  Second, we could deliver solid numbers, completely in line or above the trajectory defined for the year in April 2020. We've been very resilient in a volatile environment, highlighting the relevance and robustness of our business model. Marc-Henri and Eric will comment it in a minute.  Third, during the year, we continued to fully execute the strategic development of Worldline. 2020, from that standpoint, has truly been a strategic milestone in our company's history with the acquisition of Ingenico. Our integration and synergy plans are progressing at a rapid pace. More than ever, we cover the entire payment value chain with outstanding market positions in online payments, merchant acquiring and transaction processing. The acquisition has ideally positioned us for the structural transformation of our markets.  And fourth, we've been able to pursue participating into the market consolidation with the strategic alliance signed with ANZ in Australia providing to Worldline a very powerful access to an attractive market with significant market share and very meaningful acquiring volumes. This transaction highlights once more our capacity to build long-term alliances globally with successful banks and demonstrate the relevance of our new go-to-market merchant services for financial institutions based on a repeatable blueprint model that open the door to further joint ventures and alliances.  Moving forward and to share a few data about the transformation of the payment market. As we know, there is no precedent of such health crisis. And it is definitely the first time that we have seen hundred millions people confined at home with the physical impossibility to consume as usual during a long period of time.  But taking it on the right side, we have really witnessed a strong acceleration of existing trends in consumer behavior, reshaping the way we pay towards more electronic and online payments and in merchant offerings able to adapt their business towards more digitization.  I would like to highlight a few key points, which are strong illustration of payment habits reshaping due to the health crisis. First, in the face-to-face commerce, the shift from cash to card is clearly accelerating. In 2020, we have seen a 13% drop in cash usage in Europe. This movement has been sustained and supported by governmental push doubling the threshold overall for contactless payment that starts to become a standard for in-store payments. As a clear example in Germany, which was historically a country strongly cash exposed, we have seen a 33% increase in contactless usage in 2020 to reach now 68% of payments.  Second, the shift towards digital payments with the strong growth of online activity becoming mandatory for a lot of merchants. Overall, we have seen a digital adoption from digital banking to digital payments jumping by 13 points from 81% to 94% during the health crisis.  More importantly, but fully in line with my first comment, we have identified a strong shift from face-to-face commerce to e-commerce, a direct impact coming from the lockdowns. According to international card schemes, this shift seems to be sustainable for a big portion of it, between 20% to 30% probably, which will put us in a strong position due to our online activity representing now 30%-plus of our overall Merchant Services business. Fundamentally, this health crisis has triggered new consumer behaviors that will reinforce the long-term growth opportunities for our group as well as for the entire payment sector.  Coming back now on the key 2020 figures. These are reflecting precisely our very strong resilience. Revenue for 2020 was €2.75 billion, representing an organic decline of 4.6% compared to 2019 at constant scope and exchange rates.  Regarding profitability, our OMDA stood at €700 million, representing a 25.5% of revenue or 60 basis point improvement compared to 2019. This margin improvement comes from our ability to react early in the crisis with cost containment measures, but, on top, starting to benefit from synergies and from our business mix.  Full year 2020 free cash flow was €349 million, representing a strong conversion ratio at 49.8% of OMDA. It's 200 basis points above the conversion rate of last year, thanks to the strong cash management and control put in place by Eric and his team.  Normalized net income group share reached €361 million, up 20% versus last year. And normalized EPS reached €1.76 per share, up 8%. As you can see, all our 2020 objectives have been reached or exceeded.  Last, but certainly not least, we could make 2020 a decisive year, as you all know, from the strategic standpoint, reinforcing massively Worldline global reach and scale through the transformational acquisition of Ingenico positioning the group at the forefront of the European payment ecosystem, the strategic partnership signed with ANZ, the acquisition of GoPay enhancing our online capabilities in the fast-growing Eastern European market, while we could engage the acceleration of the transformation of TSS towards more recurring revenue business model through Payment-Platform-as-a-Service with the acquisition of Easypymtz.  You, of course, know on this call the benefits of each transaction as we have already described them along the last year. But as a summary, I would like to reemphasize that, in 2020, we have definitely change of scale, becoming the European leader and #4 worldwide. We have very significantly reinforced our long-term growth potential with 3x more online payment than before. And we have ahead of us, a very large amount of synergies to be delivered as soon as 2021 downward to 2024.  But for me, maybe the more important is the perfect timing of our strategic transformation. While the world around us was shaking, we could make 2020 incredibly useful for the group. Not only we have signed and closed our largest acquisition ever, but we actively prepared the integration during last year. And for the last 4 months, now, we are running as one fully integrated, actively extracting synergies and ready to harvest all the benefits of our combined group in an even more promising market than before. once the pandemic will have gone away.  It's time for me now to hand over to Marc-Henri.
Marc-Henri Desportes: Thank you, Gilles, and good morning to you all. Turning now to a brief comment of the revenue evolution for the full year. As you can see on this graph, the quarterly revenue curves for 3 business lines that are exposed to transaction volumes. As we already commented in previous quarters, thanks to a diversified business profile, Worldline's revenue was globally resilient to the extraordinary COVID-19 context. And you can see here after the strong Q3 recovery from minus 13.1% organic decline in Q2 to minus 2.7% in Q3, we have been impacted in Q4 due to the lockdowns and curfews in place in all major countries, such as the Dutch region.  Now looking at the table below in which you can see transaction volumes operated by Worldline, the main highlights are that account payments were not significantly impacted and have delivered a steady growth along the year. For the card transaction, quite similarly in issuing and acquiring in-store, we have seen the same dynamic completely mirroring the effect of government constraints. On that front, debit card remained quite resilient reflecting the domestic transactions, while credit cards were down as they are mostly used for travels, restaurants and hospitality transactions. Online remained dynamic, fueled by nontravel verticals such as digital goods and services or marketplaces reflecting a change in consumer habits, as mentioned by Gilles earlier, and some business wins.  There is another important point to mention when looking at the performance of the group during the year 2020, which is the geographical exposure of Worldline. We are mainly exposed to the wealthiest European countries, which are also the ones mainly impacted by severe restrictions, such as lockdown and curfews in the course of 2020 and somehow even more so at the end of the year. This situation is still ongoing for a lot of them during the first quarter of 2021. But the government restrictions came in this country with protective measures to the economy, and out of -- in those regions, have created a massive reserve of savings. We are talking about a couple of hundreds of billion euros for France and Germany only. As far as we know, it is the first time that the savings rates reached this all-time high close to 2x more than during the subprime crisis in 2008-2009, as you can see on the curve. This is mainly driven by forced savings coming from the inability to consume in a lockdown environment. Remember that consumption was down 12% in Q2 2020.  What we observed in Q3 that the partial ease of constraints led to an immediate rebound of consumption, unfortunately stopped as soon as September by the second wave, which is a good historical view. We consider that Worldline exposure to the most impacted but wealthiest countries associated with the record level of household savings definitely represent a catch-up opportunity when restrictions will be removed in a post-COVID environment.  Now coming back to the Q4 wins. Let me share with you some highlights commencing with Merchant Services. For the food chain McDonald's, what is interesting here is that the implementation of end-to-end contactless payment solution at their drive-thru restaurants, it highlights the need for safe and contactless payment, which has been an important incentive for these merchants to upgrade to more innovative payment solutions, respecting social distancing constraints. So we see an example of many similar things we had across the portfolio. And this has been rolled out with solution across Belgium based on our new VALINA acceptance solution.  We did also continue to gain traction with big retailers, looking at an efficient set of their omnichannel capabilities with a seamless integration to their own infrastructure. I can give 2 examples. OLYMP, a men's station -- online store with more than a physical store, which, by the way, was a former Wirecard customer, to whom we will provide full payment processing capabilities, online and in-store, covering the physical store in several countries on top of their online merchant platform. And Auchan, the famous French retailer, with a rollout in more than 500 stores in France on a full omnichannel acceptance solution. Through this solution, we will manage more than 300 million transactions per year with a lot of value-added features such as smart routing and financial reconciliation.  In Financial Services, we already shared with you the 5-year contract renewal with the Austrian bank through PSA. I'm pleased to say that we extended it with a new contract relating to their new e-identity program.  Finally, in MeTS, we have renewed a contract with The Agence de Services et de Paiement to build and operate the energy voucher program in France helping precarious people to pay their energy, gas and electricity bills.  As always, these are only examples of the numerous deals we signed during the quarter. In 2020, we have as well continued the ongoing strategic development of TSS, Terminals, Services & Solutions, to accelerate their business model transition towards more recurring revenues based on the Payment-Platform-as-a-Service solution that we call PPAAS. This PPAAS will empower acquirers to offer state-of-the-art payment and commerce acceptance solution to their merchants. Today, we have dedicated -- we have a dedicated team of circa 100 engineers working on this project with strong technological and software skills. On top, during the fourth quarter, we have made the acquisition of Easypymtz. It is a technology company headquartered in Singapore with engineering and software development operation based in India. This company has developed a deep expertise in designing, delivering innovative combination of cloud-based solutions ranging from payment orchestration to thin client application for payment devices.  The last, a group of targeted clients have been onboarded as foundational partners, including Tier 1 European banks to design, build and launch the solution. These partners, who are banks, acquired ISOs And ISVs who will dedicate whole course for regular integration with our technology team. And of course, we'll be the first users.  With our internal tech teams, the acquisition of Easypymtz and our foundational partners, we are confident that we have the necessary pertinent tools to accelerate the development and ultimately the commercial launch of PPAAS solution in Q4 2021.  Coming now to the Ingenico integration. So applying our integration culture and methodology, we have successfully launched all the 31 work streams embedded in our plan, generating an immediate activation of synergy's quick wins. The good start of this detailed synergy plan allowed us to confirm this trajectory to deliver the €250 million synergies by 2024.  Now turning to the road map for 2021. We have implemented Day-one strong integration of Merchant Services teams that we presented to you during the closing call with a compelling business transformation based on a verticalized go-to-market approach fed with transversal product teams. It is in full-motion now.  Second, we have immediately launched a full review for technology platform landscape to define the right targets to operate and generate the scale effects through convergence. And last but not least, we will see as well the first tangible benefits of those scale effects with de-duplication of development projects, consolidation of real estate, massification of purchasing spend and transformation of back-office and support functions.  In a nutshell, all the initiatives that I have just mentioned are very well on track towards a target of €66 million positive impact on the OMDA in 2021.  Now looking forward, we, as a management team, believe that beyond the short-term COVID tension, our 2021 and medium-term perspective are more than strong in terms of growth and margin improvement, mainly driven by a full execution of our strategic road map already in motion. We can already see the positive effects of our new go-to-market organization through the commercial activity we have and the dynamism in providing new products and solutions to merchants.  Digging into more details, I would like to highlight the following successes. On the small and medium business front, we are able to onboard thousands of net new merchants every month globally, thanks to our digital offering and to end-to-end solution for onboarding typically. Regarding the large retailers, our omnichannel capability linked to ability to drive a full seamless integration from acceptance to merchant IT systems without any execution risk, has provided the confidence of Tier 1 players and a rich pipeline for the quarter to come.  On the online side, our focus, in parallel of merchant gains, has been to broaden the offering portfolio. As example, I can mention our progress in offering extended access to favorite local payment solution to, for example, Indian or Chinese customers. We also work, among others, to give online payment merchants live access to their data through the data-as-a-service offering embedded into our Insight solution that I could mention many, many more.  We are structured to deploy the full payment processing unit of Financial Servicing, highlighting the perfect fit and state-of-the-art performance of our platform for outsourcing needs of large banks such as UniCredit or Commerzbank, those are the two latest big names in terms of wins. Finally, we have successfully rolled out the terminal-as-a-service offering solution in Europe on top of new contracts then in the U.S., highlighting the relevance of the as-a-service model and it's from our bank and acquiring partners in this domain.  To include with the -- to conclude, sorry, with the margin improvement opportunity, we have all the levers in hand to provide an enhanced margin profile coming from our track record on delivering strong synergies from acquisition. And you can see on this slide, the quantum expected for the coming years. And this combined with the continued cost base management, as reflected in our 2020 performance, improving our OMDA margin in a volatile top line environment.  Now I hand over to Eric to present you the financial performance and the guidance of the year before a wrap-up and conclusion from Gilles.
Eric Heurtaux: Thank you, Marc-Henri, and good morning to all of you. First, I would like to cover the revenue building block for the full year 2020. As you can see, we are down 4.6% organically, which is a solid achievement, highlighting the strong resilience of Worldline business model in an adverse COVID environment, including a unexpected second wave in H2.  As you can see, the most impacted division is Merchant Services, down 7.7% organically, mainly impacted by a drop on in-store activities in Q2 and Q4 due to the lockdown measures. On the other side, online and omnichannel activities remained dynamic for the nontravel verticals such as digital goods, gaming or marketplaces.  Financial Services showed a strong resilience in this environment, being down only 1.6% organically, thanks to recurring payment flows and the ramp-up of newly signed large outsourcing contracts. TSS with the contribution mainly coming from the 2-month integration from Ingenico was down 1.9%. The division was benefited from a strong performance of mature markets, such as the EMEA in line with expected trajectory.  MTS revenue was down with an organic decline of 3.1%, impacted by the Trusted Digitization activities and e-Ticketing not compensated by the strong performance of key consumer activities. Now moving to the next slide regarding OMDA. Our OMDA pro forma is broadly stable at €700 million in 2020, but showing a 60 basis point improvement in terms of OMDA margin reaching 25.5%. This performance is driven by the delivery of synergies coming from SPS, the tight cost control put in place early in the crisis and the resilience of our business models.  In more details, MS profitability is up 150 basis points to 24.9%, benefiting from the cost control actions implemented during the year to compensate COVID-19 impact on revenue, the execution of synergies of SPS, and in a lesser extent, Ingenico. Of course, we also have ongoing transversal productivity improvement action that contributed as well as usual. The division benefited also from its comparatively higher variable cost base benefits.  FS OMDA margin was indeed down 240 basis points to 31.2%, impacted by high proportion of fixed cost in a volume-decreased environment. On top, OMDA has been impacted by investments related to the ramp-up phase of a newly large contract signed. In parallel, cost measure has been implemented to mitigate OMDA contraction. Last, FS did not benefit from the usual level of project activity in the context of more limited investment from its clients in the last part of the year. TSS Performance came in strong with 660 basis point improvement in OMDA margin, mostly driven by the geographical mix with Europe performing strongly in Q4, by the transformation as well and cost-saving plans initiated early 2020 leading to a lean cost base in front of higher revenue.  MTS profitability has been impacted mainly by the business trends in e-Ticketing, mainly in the U.K. and LATAM market due to the health concerns. And so MTS margin is down by only 90 basis points, a good performance coming from the cost measure implemented during the year to adapt the cost base to the top line. Last, on the corporate side, we have pursued a strong action taken to contain and streamline our cost base.  Now moving to the OMDA -- to the other elements of the income statement. Nonrecurring items reached €276 million and consisted mainly in purchase price allocation amortization of €114 million. The increase was linked to the acquisition of Ingenico. Integration and acquisition cost of €105 million, corresponding mainly to SIX Payment Services integration costs and costs related to the acquisition and integration of Ingenico. For the rest, it's mainly related to €22 million increase in IFRS to equity-based compensation notably related to Ingenico integration. As a result, operating income for the full year 2020 was €245 million.  Net financial expense amounted to €28 million, which, in particular, net cost of financial debt of €20 million for the interest of the bonds and OCEANE issued in 2020 and the full year effect of the ones issued in 2019. I also remind you that 2019 net financial results benefited from the recognition of the fair value of Visa preferred shares for €24 million and of the contingent consideration related to SPS acquisition for €118 million.  The tax charge was €51 million with an ETR down 170 basis points at 23.4% versus 25.1% last year, normalized from the SPS contingent consideration. We don't have significant noncontrolling interest anymore since the acquisition of a minority shareholding in equensWorldline and since day 1 was consolidated only for 2 months.  As a result of the above items, net income group share was €164 million, impacted by higher nonrecurring items and no significant positive one-off as in 2019. The normalized net income stood at €361 million, up 20.2%, and our normalized diluted EPS reached €1.76 compared to €1.63 in 2019.  Regarding the free cash flow statement, CapEx were €155 million, representing 5.7% of sales, fully in line with a range of 5% to 6% we usually are comfortable with, highlighting that despite the COVID environment, we have maintained our CapEx intensity not to hamper the future growth rate. The change in working capital requirement in December 2020 is as expected with a positive €46 million impact, in line with the trend seen in H1 and reversing the negative evolution of 2019.  Integration costs were slightly up and are mainly related to Ingenico for the start of integration and some postacquisition costs over recent acquisition. On top, we have isolated €54 million related to Ingenico transaction cost. All in all, the full year free cash flow before Ingenico transaction cost, which was the metric for full year 2020 guidance, reached €349 million, representing 49.8% of OMDA, an improvement of the conversion rate by 200 basis points on a comparable scope. Including Ingenico transaction cost, our free cash flow was €295 million, still representing 42.1% of OMDA.  Now regarding the net debt evolution. The group net debt increased to €3.165 billion against €641 million at the beginning of the year. The main component of this evolution is, of course, the acquisition of Ingenico corresponding to a cash outflow of €2.8 billion. The positive impact of the accounting treatment of our convertible bond contributed positively for €77 million. Our net debt is well in line with our expectation at the beginning of the year and with our plan to quickly reduce our net debt-to-OMDA ratio below 2x driven by our free cash flow generation.  Now on the next slide, we have decided to provide you a full view of our revenue and OMDA pro forma, including the contribution of Ingenico on a full year basis, having in mind that our 2021 guidance will be based on this reference point. As already explained by Marc-Henri and myself, 2020 activity has been impacted by the health environment, which has generated close to €400 million impact on the top line. It remains a resilient performance in such a volatile environment after we have some negative impact on FX with euro mostly appreciating against other currencies amounting to slightly more than €100 million, mainly coming from Ingenico, and in particular, TSS activity due to its worldwide presence.  At the end, our landing point reached €4.8 billion as of end 2020 from the €5.3 billion 2019 we have computed early February at the announcement of the acquisition of Ingenico. Last, the OMDA margin for 2020 was 23.9%, impacted by the slightly lower profitability of Ingenico stand-alone.  Now moving to 2021 and the situation we expect in terms of revenue scenario. As you can see, due to the current constraint in our major countries and as Marc-Henri has described earlier, we expect a gradual recovery along the year reaching a cruising speed in the second half. Our scenario is built as follow: for the first half 2021, we expect to be flat to slightly negative in terms of organic performance driven by severe governmental domestic restrictions during Q1 2021, including lockdowns of nonessential merchants, curfew and borders' restriction. It should lead to a Q1 performance at a crossroad between Q2 2020 and Q4 2020. It is also based on the assumption of partial relief of restriction in the course of H1 2021, in particular, in Q2 2021 with no significant intra-European travels, no intercontinental travels and a ramp-up of vaccination campaigns.  Maybe more important for the second half 2021 , we expect to reaccelerate towards a double-digit organic growth based on the ease of domestic restrictions with end of lockdowns for nonessential merchants, end of curfews and borders' restrictions, intra-European travel fully allowed and progressive return to normal level of travel flows. Still, we do not anticipate significant international travel. Here, you have now the full scenario trends we have taken into account to build our full year guidance that I have -- will detail in the next slide. Based on this modeling, we expect the full year 2020 to reach at least mid-single-digit revenue organic growth, an OMDA margin improvement by circa 200 basis points to reach circa 26% compared to the 2020 pro forma margin of 23.9%, including Ingenico, on a full year basis. And finally, an OMDA conduction rate into free cash flow of circa 50%.  Now I'd like to leave the floor to Gilles for the conclusion.
Gilles Grapinet: Many thanks, Eric. Let me indeed conclude, first, with some key takeaways of 2020, three, as a matter of fact. First, our group has very well performed demonstrating resilience, thanks to its business mix, but more importantly maybe, a remarkable level of cost control and free cash flow generation in an adverse environment.  Second, the payment market is changing in our favor faster than ever. And beyond the comments we made on the acceleration of the shift from cash to card, there are also new major initiatives like EPI that are going to accelerate this shift to a less cash-intensive society.  Third, our group has changed immensely over the last year and is better positioned than ever to participate into the buoyant payment sector consolidation. This is, of course, what is shaping our 2021 priority, which will be highly focused on our strategic road map execution, which is twofold-ed, as a matter of fact.  First, our growth profile and margin improvement trajectory will be priority #1 of the group. And despite our expectation of an ongoing volatile environment at the beginning of this year, we are going to focus on the strongest possible acceleration of our growth rate upon the progressive normalization of the health situation during 2021 as described by Eric.  In that context, we will be particularly focused on the quickest execution of our synergy road map to reach €250 million as planned by 2024 coming from Ingenico on top, of course, of the future synergies from ANZ and not forgetting the one that will flow in -- from the year #3 and 4 of the SPS integration.  Second priority, we will keep a very strong momentum on all our strategic initiatives with the commitment to complete in 2021 the currently ongoing strategic review of the payment terminal activities and the permanent continuation of our search for scale enhancement through seizing any value-creative consolidation opportunities.  With the team here, we are deeply convinced that this new Worldline offers a powerful growth engine in the post-COVID era. And I am very pleased to confirm that we will hold an Investor Day most certainly in the course of the second half of 2021 to present you, with my team, all the growth and margin levers embedded into this new Worldline.  Thank you very much for your attention, and I am now ready with Marc-Henri and Eric to take your questions.
Operator: [Operator Instructions]. The first question is from the line of James Goodman from Barclays.
James Goodman: Questions from me, please. Just firstly, coming back on the guidance. I understand very much the double-digit trajectory anticipated for H2, but to dig in a little bit into the H1 commentary. I think you said Q1 performance you see somewhere between Q2 and Q4 of last year, which makes sense.  I think, for me, the question is Q2 has an extremely low base. It's a very sort of strong lockdown last year. Just mathematically, that's quite powerful. Would have anticipated sort of more than an offsetting effect in Q2 to slightly bring up the H1 level there. So maybe you could help us a little bit with that, maybe with some building blocks around the divisional expectations or anything sort of specific going on with the Terminals asset? Anything to help us just understand a bit more that sort of phasing of growth as we go through the year. The second question, if I could ask you, about the Terminals strategic review, please. If you excuse my ignorance, really, it's just around whether there's been sort of a change to the timings here? Had a sort of 6-month strategic review in mind. Clearly, you had some lead into that given the sort of February announcement of the deal last year. Has something changed there? Is there sort of an increased likelihood of you doing something alternative with that asset keeping it, for example, any other commentary around the Terminals situation?
Gilles Grapinet: Eric, who will maybe take your first question, and I will come back on the strategic review of the Terminal.
Eric Heurtaux: Yes. So indeed, in Q2, we expect a positive momentum due to the low comps of 2020. However, we kept an assumption that there will still be some governmental restrictions on the activity in the second quarter. And that, the full back to normal, would be mostly in H2. That's the reason why even though, indeed, we will benefit from growth in this quarter, we have not yet factored a full recovery versus the potential negative of Q1. And hence, our guidance that this semester should remain, in our assumption, in our modeling, flat for the period.  Now you know we don't guide on a semester basis, we guide on a full year basis. So it may happen. But indeed, if things go a bit faster, then we will enjoy probably a better momentum with Q2, which will enable us to secure our trajectory for the full year.
Gilles Grapinet: Okay. Thank you, Eric. On the strategic review of the Terminals, just to give you a bit of background. As you remember, we have, as a matter of fact, a lot ongoing around TSS. The first most important thing is that we are also, in parallel, running the integration of the Worldline payment terminal-related activities that were much smaller, but nonetheless, into the former B&A business to create TSS. So this, of course, had to be carefully organized and planned.  It is, by the way, part of the new business plan that we are shaping for the new TSS organization to also ensure a fast extraction of the synergies that are associated with this part of the integration and which is also an integral part of the work we do to go along the strategic review.  So this is really fully running as per plan, I want to be very clear here. And we are totally confident that we will drive the full completion of the strategic review by year-end. There is absolutely no change here. I think we have been making great progresses in the documentation of the various scenarios, pluses and minuses associated to each options. And of course, we are ready to pursue working at high pace on this strategic review, which is of critical importance, both for the business as for the rest of the group.  And the last comment, maybe James, coming back on your question. I mean I want to be very clear, you have understood from Eric that our revenue guidance is clearly built on a health scenario that has been very precisely described by Eric.  I mean I cannot deny that one may think that potentially this guidance may let room for upside because we said at least mid-single-digit organic growth for the full year. But it may accelerate depending on the speed of return to a more normal situation. And of course, if governments are releasing a bit sooner than our scenarios some of the constraints they are currently applying in some of our key countries, of course, this will free up definitely a very powerful growth momentum for us. We just don't know if it will be exactly Q2 or we are very confident it should be H2 that everything is pinpointing in that direction.  So this is the way we have been modeling and it's what we want to share with you this morning, which is definitely our best assumption of what we consider is a plausible scenario of a progressive return to normal. If it goes faster, it will be even better for the top line.
James Goodman: Yes. It makes a lot of sense in terms of how you constructed the guidance.
Operator: Our next question is from the line of Josh Levin from Autonomous.
Joshua Levin: The first is on the guide. You're talking about double-digit growth in the second half of the year. How much of that will be due to easy comps? And how much due to a release of pent-up spending? Have you sort of modeled it at that granular level?  And then the second question is, Gilles, you're not paying a dividend because you want to keep cash for M&A. I don't recall Worldline doing that before. Does that mean a deal is likely sooner rather than later?
Gilles Grapinet: Well, maybe I will start. I mean the Board has been discussing that, you can guess, at length. But the Board still believe that as it has been done since the IPO, the priority given to using the cash generated by the company for further consolidation is the most value-creative option for the shareholders for the time being. So it will be there for 2021. It does not rule out in the longer term that the Board may change its views due to the fact that the company will become bigger and bigger and will deleverage, in particular, probably very fast, as you know.  But for the time being, it just talks about 2021. The priority is given to us by the Board for consolidation, it's why there is no dividend this year.
Eric Heurtaux: On the first question related to the H2. It's obviously a mix of both. I would say, if I want to simplify a bit and help provide a bit of color, that Q2 -- Q3 last year was quite strong. You remember the positive recovery we had so probably we expect more release of the consumption in this quarter when Q4 was softer. This is what we just commented.  And therefore, we will benefit from easier comps in Q4 as well as still some release. So that gives you a bit of perspective on how we build this double-digit growth expectation for the second semester.
Operator: Our next question is from the line of Sandeep Deshpande from JPMorgan.
Sandeep Deshpande: A couple of questions, if I may. Firstly, on the margin in Merchant Services. Clearly, you -- despite the significant decline in Merchant Services sales, you saw the increase in OMDA margin. Could you quantify how much of that increase in margin that you saw was synergies and how much was cost savings? Because see, some of these cost savings are travel, et cetera, related, which will come back at some point, hopefully. And thus synergies is a question I have associated with Merchant Services.  And then, secondly, with regard to the recovery that you are modeling through the year, I mean, in multiple earlier questions you've answered a talk on the recovery. I mean maybe you can help us understand, I mean, how you have modeled it? In the sense that is this based on your economic view? Or is this based on how you did it last year when the lockdowns occurred and then you gave the guidance into the second half of the year, et cetera? So how -- I was just trying to understand what was the -- what are the drivers of the view, et cetera?
Eric Heurtaux: Okay. So let me start with the first one and the improvement of margin in MS, which you have noticed is an improvement in percentage in absolute value. Due to a sharp decline, it has slightly decreased. In this, you should expect circa €30 million of synergies from Florida. This is what we communicated. We are well on track on this plan. So this is...
Marc-Henri Desportes: It is fair to say that the vast majority of the synergies indeed flowed into MS. SPS was primarily an MS business. So yes.
Eric Heurtaux: Yes. So that's a good assumption to believe that a big part has flown into MS, which explains why this improvement is noticeable in spite of a sharp revenue decline.  Now, you also mentioned the cost savings like travel, you said it will come back. Sure, it will. But on the other hand, it will also come when there will be some additional revenue. So basically, this is the typical variable cost that will not impact negatively the profitability when it will come back because it will be in front of additional revenue.
Gilles Grapinet: As a matter of fact -- if you allow me, Eric, just to add, as a matter of fact, what we've been missing last year and unfortunately still missing at that point in time is a part of our most lucrative businesses, the one related to international travel, indeed, that are allowing to have more value-added services, international credit card. And the costs that will come back with this are also going to come with a much higher profitability than the typical domestic transactions that are still in the figures these days.  So for us, it is clearly a very significant upside on the margin side, the return to a normal level of international travel flow.
Eric Heurtaux: Yes. There is much more upside than downside indeed to the top line.
Gilles Grapinet: And I'm with you, Sandeep, here that we were very satisfied, in all fairness, by the performance of MS last year. I think as in every crisis, we have been digging into the cost base, the reactivity of the cost base to multiple parameters, with Marc-Henri and the team.  And I think to a certain extent, it is quite an achievement in what is seen generally as a super fixed cost base, the payment business at large, to look at how we could actually adapt to these very adverse circumstances in a fraction of a year and to pilot the profitability. Of course, thanks to synergy, but also to many further optimization, we did that are going to be long-lasting ones.
Eric Heurtaux: And maybe on your second question regarding the modeling. As you can imagine, it's always difficult to do such estimate. So it's -- we tried to triangulate many data, indeed, economic data point, recovery models, and more importantly, what we believe is the proper scenario in terms of health situation, which is driving a big part of the economic assumptions. So that's definitely the first angle.  And in order to allocate the impact of this economic -- macroeconomic environment onto our revenue, indeed, we used our experience on the 2020 evolution, and in particular, how much impact we have gained when the economy had restarted at the end of Q2 and in Q3 to indeed model probably the positive evolution we may expect in the second part of the year.
Operator: The next question is from the line of Adam Wood from Morgan Stanley.
Adam Wood: I've got two, please. Maybe just first of all, again, on Merchant Services and thinking about particularly the online business, we've obviously had a big pull forward of online activity in 2020. I think in the U.S., we were estimating that online might have grown 30%, 40% instead of the normal 15%.  How much of that is -- well, maybe first of all, as stores reopened and then closed again, could you maybe talk a little bit about how that trajectory shifted? Did you see pullback in online? Or did you see online continue to be strong?  And how does that thinking impact and flow into that 2021 guidance? Are you assuming that, that part of the business actually is a bit weaker and grows more slowly because we are comping up against that difficult base? Or actually is the momentum just so strong that, that won't be true?  And then maybe, secondly, again, this is linked on the acquiring side. It looks as if we're getting some more movements in terms of bank decisions on what they're going to do strategically with acquiring businesses. We've seen some Nordic portfolios sold. We've seen Santander actually move the other way and buy the former Wirecard platform in Europe.  Could you maybe just talk a little bit about what you're seeing there strategically? Did you feel there is an acceleration of bank decisions? Has the pandemic accelerated that? And what opportunities do you see as banks make those decisions for Worldline specifically?
Gilles Grapinet: Marc-Henri will take your first question. We'll pick the second one.
Marc-Henri Desportes: Yes. Maybe just to -- so on the online part. So yes, definitely, you saw it in the volume. We saw a strong acceleration of the online activity and even more so during the stronger part of the lockdown. I think it's fair to say also through business wins, as I said, with the collapse of Wirecard, we did gain some business and we did also a normal job. I think when you put together one and Ingenico, it is a very solid set of capabilities and solutions to win market share.  This being said, the combined exposure of the group in MS to online has improved versus what was online before from circa 20% to slightly above 30%. So it's more, it's good. It's not yet the vast majority of it. So we still have a strong exposure to the in-store business. And as we shared with you in Q4 and at the beginning of this year, with Germany fully locked, it's weighting on our activities.  We are not looking forward planning a strong or any significant move back of the online because we think that consumer habits are remaining solid that people -- and with all these savings accumulated, there will be the pleasure to spend in-store again, but not giving up on some ease of online consumption. So we have not really factored a decline in this online and more of the continuation of a good trajectory in this area. And again, we think we are very well positioned.  We are -- we shared it at the moment of the closing call and our #3 global position on this online volumes. These 2.5 billion transactions per year, we need to upgrade this number, by the way, with the full year results. We are really -- have a very strong position there.
Gilles Grapinet: Regarding your second question, Adam, definitely you made a valid observation. We see many banks actually having engaged a strategic review of their merchant acquiring activities and driving this strategic review to initiating processes, either to sell some of this portfolio or to, at minimum, find partners or set up alliances to codevelop their merchant acquiring franchise. It is true in the north of Europe. It is also true in the south of Europe, in various countries.  So I believe this is just the recognition that this business and particularly when it is operated by leading domestic banks that have limited international presence is really becoming tougher and tougher to be run by a bank in the middle of 20, 25 other types of activities. It is a business that is more and more a business of specialist.  And what is really striking for me in the discussion we've been having over the last months and we are still having at that moment in time, is that for some bank, it is, of course, these are decisions that are partially dictated by capital requirement considerations, but not only and not exclusively. It is also dictated more and more by business consideration: the willingness to stay relevant in their domestic market, to have the right partner and the right technology, to keep attracting merchants to their brands even if they don't operate the business per se, but they are still involved and so they can pursue building up a banking relationship on top of the pure merchant acquiring services.  So I believe it is a long-lasting trend. And of course, it may happen that one big bank believe they can build such a business by themselves, but it is really the exception and not at all the rule. Most of the banks we interact with are more having thinking in the other direction, which is recognizing it is a pure player business and partnership makes absolute sense between a bank and its distribution capacity and a pure player, technical, business knowledge and an ability, more importantly and more than ever, to cover properly the online needs of the merchant and the Pan-European needs of the very large retail franchises.  So for me, definitely, it is just a strong confirmation of our views that the crisis is just making stronger. The crisis, as you all know, has been putting an extra level of stress on the business models of many banks. There is an anticipation of further capital requirement needed to cope with potential bankruptcies in certain geographies. And of course, banks are piloting their own activities with an extraordinary care, which may drive this type of strategic decisions. So we are ready for that.  It is the point, of course, of the creation of the MSFI business unit, Merchant Services for Financial Institution. It has been created precisely to capture this market trend.
Operator: Our next question is from the line of Alexandre Faure from BNP Paribas.
Alexandre Faure: Had a couple of questions, if I may. One is on, I mean, your payment terminal business and perhaps the assumptions you're baking into the 2021 guidance around that business line? And question number two is, if you could comment perhaps a little bit on the order book and pipeline in FS and in MeTS, please?
Gilles Grapinet: Eric?
Eric Heurtaux: Yes. So for the TSS assumption, we have factored. We are confident that the division should be able to deliver at least its nonnegative growth rate being low single digit with the first half still being probably on the negative side and accelerating in H2.
Marc-Henri Desportes: On MS and MeTS pipeline, so -- and as you know, it's a combination. We have a lot of different activities, and in particular, the merch market is a business in which you monitor rather the churn, the number of small merchants onboard and it's not really a pipeline topic with the RFPs or long-lasting sales process...
Alexandre Faure: No, no. Sorry, I was talking of Financial Services, not currently...
Marc-Henri Desportes: Financial Services. Okay, Financial Services. Okay. So in Financial Services, I think we have a good pipeline at the beginning of the year, more towards medium and small deals with some also significant ones, but I think it's for the distributor to medium and small, which has the advantage of having a better statistical base. So from that point of view, it's, I would say, a good situation.  MTS, the end of last year, a slowdown in its pipeline, strong exposure to the ticketing and transportation industry with the lockdown effect. But we observed at the beginning of this year now people considering the reopening of the economy and a very good and fast ramp-up at the beginning. So I'm now more commenting the beginning of 2021 of the pipeline in MTS.  So overall, it is, I would say, a satisfactory commercial situation, and we have invested significantly in reshuffling a bit the sales force of FS towards the end of 2020 and the start of 2021. We start the year with a good visibility.
Operator: The next question is from the line of Hannes Leitner from UBS.
Hannes Leitner: I have also a couple of questions. The first one is also on the Terminal business. You showed very strong margins. Can you talk us through a little bit what are the moving parts then for this year? And is this sustainable also in hindsight of the change to a kind of more recurring revenue model?  And then coming back to the strategic review, I might have missed it in the beginning when James asked around that or when you give answers to James' question. What's in the strategic review? Could you talk us a little bit the working parts here? What are the moving parts? What you are assessing and progressing here?  And the last one is just on the cost measures to fight the pandemic. You laid out that some of those temporary cost measures might stick. Can you quantify them already? We know you have asked -- you have talked about this throughout the year, but given now it's 1 year into the pandemic, it would be helpful to understand where you see the cost levers to stick.
Eric Heurtaux: Okay. Thank you, Hannes, to give me the opportunity to clarify the margin profile of TSS because, indeed, as you have understood it, we have had a very good performance in this last part of the year and this was driven by several points.  As I briefly commented earlier, first, a very favorable geographical mix, which is always important in a business like TSS with strong sales in geographies, which are high in terms of contributive margin. So that helped, definitely.  We have implemented this year some strong cost control measures in TSS as in the rest of the organization, which means that we entered Q4 with a very lean cost base. This very lean cost base was applied on higher top line as Q4 is the highest quarter and December, in particular, the highest month for this kind of business.  So there is indeed this effect, particular due to the fact that we have only 2 months of TSS in our consolidated numbers this year, which means that there is probably some over-performance versus the normative situation of this TSS business. That is, nonetheless improving year-on-year, I think, due to the hard work done by Matthieu and his team in order to progressively bring upward the profitability of this division. That should be as per the projection commented by Ingenico earlier in 2020 and in their plan heading towards probably 25% of profitability in a kind of normative endowment.  So you understood this, due to the geographical mix, there might be some better quarter or semester; some, which will be a bit below. But all in all, I think, solidly improving year-on-year the performance of this division through structural actions.
Gilles Grapinet: Hannes, you had a question on the strategic review. Sorry, maybe I missed it. Could you...
Hannes Leitner: Yes, yes. It was -- the question was just about the kind of the task force, the moving parts and the progress update on that. So a little bit more granular -- a bit.
Gilles Grapinet: Yes. No. Sure. No, no. Sure, sure. So just to share with you where we are. Of course, just to state the obvious, as I mentioned already, we had with Marc-Henri, Matthieu's team, of course, to secure the full launch of the proper integration of our own activities, i.e., the former Terminals activities of Worldline into TSS and to boil that down into a newly revised business plan for the entity. That was a big task that is now behind us, but an important one.  To get there, of course, we needed to have the best possible visibility on the full year 2020, to state the obvious, and the proper projection, of course, on 2021 and beyond, which, as you can guess, has just been completed, of course, since the start of the year.  We have been, of course, fully equipping ourselves with the proper level of advisers in all domains, legal, tax, financial and so on, to be in a position to assess all the strategic options for the business. As you know, we are looking at everything. There is absolutely no taboo to secure the best possible option.  And on top of that, of course, we've been making in-depth analysis of the dynamic of the market, the competitive positioning and so on.  So all that has been really complied properly. We start to have a very accurate strategic view of the best option for the business, and this is running really as their plan. I cannot really tell it more precisely. This is really a machine that is extremely real hard with a fantastic work hand in hand with the great management team of TSS.  Okay. That's it. Did we cover all your questions, Hannes, just to check?
Hannes Leitner: Just the last question was on the cost measures to fight the pandemic. Did you quantify anything on that what could stick? So what is basically then some sustainable improvements on the cost side?
Eric Heurtaux: I think we are not quantifying it for the year to come because the big question is how long will you maintain the full set of cost measures because the top line is impacted. I think the point we showed in the past that we add a lot of cost base to the top line situation. When the business is back and you need to accelerate and score, we do. When the business is low, we adapt.  I think last year, Ingenico shared some numbers. A significant part of it has been embedded in lean, I would say, new imposition of the business that we can expect to maintain. But what are more variable, temporary or linked to the top line situation, we will maintain as long as needed. So what would I would say to simplify the point.
Operator: All right. The next question is from the line of Mr. Paul Kratz from Jefferies.
Paul Kratz: Just a couple of questions from my end. I think maybe starting with the OMDA margin guidance, could you help us maybe understand the upside case or maybe the sensitivity to growth rates of your OMDA margin guidance? So let's say we were to come in better than mid-single digits, with that 200 basis points maybe come in slightly better just reflecting underlying organic operating leverage?  The second question I also had is when you really think of M&A into 2021 and beyond, is that really dependent on the liquidity event, say -- let's say, a sale of the Terminal business? And then, obviously, with what we've seen in the French market around BPCE buying out the Natixis minority, does that maybe change a bit your calculus with respect to that market?  And then, finally, maybe a longer-term and more strategic question. I mean when we think of all the revenues that you've lost that have been linked to both travel and travel-related expenditure, how should we really think about 2022? Should that be a year where growth should continue to accelerate, that will be ahead of usually normative growth rate within Merchant Services? I mean any commentary kind of on the longer-term growth trajectory would be helpful.
Gilles Grapinet: Yes, sure. I will give the mic to Eric in a minute. But of course, on your last question, in particular, I can't wait being with you all, hopefully, in person. That's why we are also going to position our Capital Market Day in H2 because we wanted to be really a physical event where we could also showcase many innovations that the group had been delivering.  But indeed, spontaneously, when we project ourselves, let's call it, in a normal post-COVID world, 2022 hopefully will be exactly the definition of a normal post-COVID world, we anticipate, of course, growth to be extremely strong in the group due to the comeback of all the key elements that are driving our top line plus all the benefit of the structural acceleration of the shift from cash to cashless. So all that should indeed support a strong growth ambition from the group in the medium term.  But let's first navigate 2021. Let's have the Capital Market Day, where we will be more precise on our longer-term ambition. Eric?
Eric Heurtaux: Yes. I think your first question was related to profitability upside in case of positive momentum on the top line. I think that's definitely the case. You know that we have some significant operating leverage. What I can tell you is that the level of margin we expect is quite well documented, relying also on the strong synergies we expect that Marc-Henri has described in his presentation.  We are also in a position to adjust our costs in case the situation would not happen exactly as we expect in our scenario.  So all in all, I believe that we have a guidance, which is quite solid in terms of profitability with, if indeed, there is more of a new for operating leverage potentially to do a bit better as usual, yes.
Gilles Grapinet: And regarding -- your second question regarding is M&A depending on liquidity event, as you know us for years, we've been having very different ways of shaping large M&A transactions over the past years. equens was a contribution in kind of our assets within the assets of the former equens, and this was recorded basically a cash-free transaction for years until we bought back the minority shareholders of equensWorldline.  SIX Payment Services was a share-based transaction for most of it. Ingenico is also a share-based transaction for the largest part of it with a significant cash component in this one for a part. And we have been also shaping JVs like the one with ANZ at 51-49.  So I mean the toolbox of Worldline to accommodate the large-scale transaction is not really making us dependent on any event that would accelerate short-term deleverage even if, of course, if this happens, it just reopened even at a wider level the possibility to make a pure cash-based transaction very short term. So I think we have ample opportunities to shape any transaction.  And the way we've been seeing the latest evolution, and you probably saw the same because I know you guys are following very closely our industry, that most of the last deals, particularly of large magnitude, have been basically relatively cash-free. It's true for us and it's true for all our peers in the U.S. and in Europe. So...
Paul Kratz: And maybe just to comment on the BPCE-Natixis deal, if that changes maybe your outlook on the French market?
Gilles Grapinet: I don't want to comment any particular situation. I would say that anything that make something simpler is good for a potential discussion at the point in time. I mean when you have a cascade of companies and you need to align minority shareholders, majority shareholders, it is always more complex. But keep that comment as a general comment, not particularly related to BPCE.
Operator: Okay. The next question is from the line of Tammy Qiu. You may ask your question. She's from Berenberg.
Tammy Qiu: I just have a very easy one at the end. Your online growth has been very strong since COVID lockdown and has really accelerated through time. So I wonder, is that actually because of your additional merchant wins? Or is that actually your merchant has been growing their online given COVID effect?  So then how should I be thinking about it once the economy opens towards the second half of this year? Should I be expecting that growth slowing down or you can continue to have more merchant wins so that gross level will stay at a high level even past the open-up?
Marc-Henri Desportes: I think there, it's both. It's clearly a combination of the growth of the online merchants due to the switch to online transaction and the change of habit in consumer being through lockdown. And as I said before, we believe this change in habits will largely resist reopening of the economy, which will benefit more from the savings for the in-store consumption.  And so I said it's both, it's this change of habit and the wins of merchants. We -- in general, due to the very strong positioning of our portfolio of solution and combining Ingenico and Worldline, and I think both are doing well in 2020, and on also gaining some customer from the Wirecard collapse that needed a new operator. I mentioned OLYMP in my presentation. Aldi Süd was another example. And we have a world including telco operators. I'm sorry, this is I'm not sure it was primarily installed. But online, we won also significant customers.  So you have both and both -- we expect that you will have a continuation of good momentum from what was the normal group of the merchants and a benefit from the won customers throughout the year 2021.
Gilles Grapinet: So ladies and gentlemen, many thanks for attending our conf call today in these very interesting times. Looking forward really to meet you in person. I am missing actually the calls, which is in the black cars in the streets of Manhattan and London. So I can't wait to renew with these pleasures that would definitely signal the start of a back-to-normal life and very strong growth performance for everyone in the payment sector, and in particular, for us. Many thanks, guys. Look forward to seeing you. Bye, bye.
Operator: Thank you. That concludes our call for today. You may all disconnect. Thank you all for participating.